Preben Ørbeck: Good morning, and welcome to Aker Solutions presentation of our fourth quarter and full year results. My name is Preben Orbeck, and I'm the Head of Investor Relations. With me today is our CEO, Kjetel Digre; and our CFO, Idar Eikrem. They will take you through the main developments of the quarter and the full year. After the presentation, we have time for questions. Those of you who are following the webcast can submit your questions via the online platform. And with that, I leave the floor to Kjetel Digre.
Kjetel Digre: Thank you, Preben, and welcome to everyone tuning in. As usual, let me start the presentation with the main messages for today. First and foremost, I'm once again pleased to report that we continue to deliver solid financial results in a period of high activity. Our fourth quarter revenues were NOK 16.7 billion, which takes our full year revenues to more than NOK 63 billion, the highest in Aker Solutions' recent history. Our EBITDA margin for the quarter was 7.9% or 7.5% if you exclude the net income from SLB OneSubsea. Our net cash position increased to NOK 3.7 billion at the end of the year. This was fueled by strong cash generation in our segments and substantial dividends from our 20% ownership in SLB OneSubsea. Looking at 2025 as a whole, we have made good progress on our project portfolio and on our strategy. The Aker BP portfolio is progressing well with all key milestones met during the year. And I'm also encouraged to see high demand for our engineering and consultancy services, leveraging our 5,000 strong engineering muscle to solve energy challenges for a wide range of customers across the globe. Our life cycle business is well positioned to continue its strong development, underpinned by long-term frame agreements with strategic clients. And lastly, I also want to highlight our ownership in SLB OneSubsea, a leading player in the growing subsea market. The company is delivering strong cash generation, enabling solid dividends to Aker Solutions. So as you can see, 2025 has been a very important year for Aker Solutions. Going forward, we continue to expect revenues to decline from peak levels in 2025, and we are taking steps to adjust capacity and costs accordingly. Our financial position is robust, and the Board of Directors has decided to propose a dividend of NOK 3.6 per share for 2025, up from NOK 3.3 per share in 2024. I'll talk more about how we are positioning the company to continue delivering shareholder value. But first, I wanted to take a step back to reflect on our journey since 2020. When we merged Aker Solutions and Kvaerner back in 2020, we set ambitious targets for the period ending in 2025. As you can see from the graphs, I think it's safe to say that we have delivered. Since 2020, our revenues have grown from about NOK 20 billion to more than NOK 60 billion. And equally important, our margins have also improved significantly over the period. In 2025, we delivered an EBITDA margin of 8.4% or 7.3%, excluding net income from OneSubsea. This is an increase of about 500 basis points from 2020. We also secured several important new orders in 2025 with an order intake of about NOK 66 billion during the year. Our order backlog was about NOK 65 billion at year-end, dominated by projects under the Aker BP Alliance model and reimbursable contracts. And it's great to see that these results have generated solid returns to our shareholders. Since the announcement in July 2020, the value of Aker Solutions has increased sevenfold. This includes about NOK 13.7 billion in dividends and share buybacks distributed to our shareholders during the last 5 years. So how are we creating value? Well, since 2020, we have delivered strong operational and financial performance across our business segments. In Renewables and Field Development, we have seen the top line grow more than 4x since the merger. And going forward, we are broadening our customer base and geographical exposure. We do this mainly through our engineering and consultancy business as well as selectively targeting renewables opportunities with balanced risk reward profiles. Our second segment, Life Cycle has also had an impressive journey, delivering double-digit revenue growth with improved margins. With an asset-light business model characterized by reimbursable contracts with low investments, Life Cycle is an important contributor to Aker Solutions' performance and cash generation. Going forward, the segment is well positioned in a growing brownfield oil and gas market with a strong backlog dominated by long-term frame agreements with strategic customers. Lastly, I wanted to touch upon our ownership in SLB OneSubsea. In late 2023, we announced the closing of the transaction to create a leading global subsea player. Since then, SLB OneSubsea has delivered strong financial performance and cash generation. The company has an attractive dividend policy where all excess cash is distributed to shareholders. And as I will come back to, this is just the starting point. Supported by a strong subsea market, the company is well positioned for growth and value creation in the years to come. So let's go deeper into some of these important value drivers. A key element in our strategy is to safeguard the delivery of our projects. So how are we doing this? An excellent example is the Aker BP projects we are executing in the alliance model. There are several benefits working in this model. By aligning our incentives, sharing risk and rewards, we create win-win situations that drive innovation and efficiency. This way of working closely together with our strategic partners helps us deliver high-quality projects faster, which in turn means more energy to the markets quickly and responsibly. The Aker BP project portfolio consists of 4 new platforms with a combined weight of about 90,000 tonnes. This includes Hugin A, the largest topside ever assembled at Stord. And we're also delivering the Valhall PWP platform and the smaller Hugin B and Fenris platforms from our yards. In addition, we are involved in several projects within modification of existing assets such as Skarv as well as being delivery partner for One Subsea for the fabrication of subsea equipment. I'm very pleased to report that all critical milestones on these projects were met during 2025. This includes the delivery and sailaway of the jacket substructures for both Hugin A and Valhall PWP in the summer and the arrival of several large topside modules to Stord for final assembly. At Stord, we are progressing as planned with the stacking program preparing the topside for sailaway during 2026. In order to safeguard the delivery of these other projects, Aker Solutions is applying new ways of working, enabled by automization and digital solutions. These are not ends in themselves, but rather means of improving efficiency and safety in execution. One example is the use of augmented reality or AR for short. By overlaying the technical drawings with real-world construction, inspectors can spot issues earlier when it is easier and less costly to mitigate them. Another example is the use of virtual reality or VR, where engineers from our different locations around the world can meet virtually inside the digital model they are working on to collaborate and identify the best solutions. The technology has multiple use cases, including replacing offshore surveys in a range of operations. This frees up man hours otherwise spent on transport, reduces personnel on board and saves costly helicopter transport. These are just a couple of examples of how we turn digital ambitions into practical applications that can save both time and cost for our customers. As for the alliance model, I believe that the achievements for the alliance are a clear testament to the value of working closely together with aligned incentives. This in turn enables us to deliver quality projects with faster time to first energy. Another key pillar of our strategy is to grow our engineering and consulting business. At Aker Solutions, we are currently having more than 5,000 engineers with unique competencies across market segments covering all phases of the asset life. Our spearhead in emerging markets and client relationships is Entr, our consultancy arm. The core team at Entr currently consists of about 350 people, but draws on the competencies and capacity of the entire organization. A unique selling point for our engineering and consultancy services is how we are pioneering new digital solutions and data analytics powered by AI, artificial intelligence. By shifting from manual to automated processes, we can make better use of historical data and scenarios to design innovative solutions that unlock value for our customers. One example is a recent FPSO concept study. Here, our engineers were able to identify more than 200 potential improvements, significantly reducing both weight, costs and delivery times. From our key engineering hubs in Norway, U.K., U.S., Canada, India and Malaysia, we deliver consulting and engineering projects to a wide range of customers across the globe. Within oil and gas, we are actively engaged in several FPSO projects that we believe will move into next phases of development over the next 1 to 2 years. We're also seeing strong demand for our onshore, midstream and downstream capabilities. In these markets, we benefit from the experience and track record from our Indian office, where we have more than 1,000 engineers delivering projects across the globe. Likewise, we see that our track record in both CCS and offshore wind enables us to engage early with new clients in different geographical regions. In both offshore wind and CCS, we are now engaged in the second generation of projects. Compared to the first generation, which have been both operationally and commercially challenging, the new generation is progressing well, delivering healthy margins. So what has changed? Firstly, we have managed to negotiate commercial terms with balanced risk reward profiles and joint incentives for successful project deliveries. This means that we have moved away from traditional lump sum models to a model where both risks and upsides are much closer tied to our own performance. Secondly, we have managed to move away from customized one-off projects to leveraging standardization across several projects. One example is the Norfolk portfolio, where we are seeing the benefit of designing one and build several. For instance, both engineering and fabrication hours are significantly reduced on the second topside compared to the first. The same applies for our CCS portfolio, where learnings from the first wave of capture and storage projects are now being implemented at the Northern Lights Phase 2 and the Hafslund Celsio carbon capture and storage projects. All in all, I'm pleased to see that our focused approach is yielding positive results, positioning us in the markets with significant growth potential in the years to come. Moving over to our life cycle business. The segment has since 2020, delivered double-digit revenue growth with improved profitability and strong cash generation. At year-end, the backlog stood at about NOK 23 billion, dominated by long-term frame agreements and reimbursable modification projects on existing onshore and offshore assets. The segment also delivers hookup and commissioning services to ensure efficient and safe start-up of new oil and gas facilities and offshore wind components. Our long-term engagements on these critical assets enable us to expand our capabilities, offering unique technology-enabled services. This includes autonomous drone inspection, remote operations and AI-powered analytics. And talking about long-term engagements. I'm happy to report that we have secured several new long-term frame agreements for maintenance and modification services over the past months. Why is this important for Aker Solutions? For one, it creates transparency on activity levels for several years to come. As you can see on this slide, the recently awarded agreements in Norway have a duration of more than 10 years, including options. We are also working side-by-side with key international clients such as Exxon, Shell and BP to maintain and modify their critical infrastructure in Canada, U.K., Angola and Brunei. I believe one of the main reasons we've been awarded these contracts is our demonstrated ability to drive improvement. And we are not just talking about doing the same things we did yesterday only faster, we are talking about fundamentally challenging what we do and how we do it. That means not just applying new technology, but applying the right technology and digital solutions, where we truly move the needle and deliver measurable results. It is also about understanding our clients, how they think, how they prioritize and what matters most to them. Our deep understanding of the assets also positions us for modification projects, for instance, related to subsea tieback or the decarbonization through electrification. In Norway alone, Equinor expects to develop more than 75 subsea projects over the next decade. So to summarize, I'm impressed by how Life Cycle has developed over the last 5 years and believe that the segment is well positioned to continue its transformation journey in the years to come. Moving over to SLB OneSubsea. As mentioned, the company was established through the merger between SLB and Aker Solutions Subsea divisions with the ambition to create the leading subsea company in the world. The financial performance of the company speaks for itself, delivering strong margins and solid cash flows. The company has a very attractive dividend policy. And during 2025, SLB OneSubsea had paid out more than $400 million in dividends to its shareholders. After these payments, the company still has a robust financial position with net cash of more than $0.5 billion. And the outlook for the company is strong with global subsea spending expected to increase by around 25% over the next 5 years. Tendering activity is high, both within Subsea production systems, Subsea processing solutions and umbilicals and cable systems. SLB OneSubsea also has a highly resilient life of field service offering, enabled by the largest installed base of subsea equipment in the industry. The company recently announced targets of cumulative bookings exceeding $9 billion over the next 2 years, positioning the company for growth from 2027 and onwards. So as both the proud co-owner and delivery partner for OneSubsea, Aker Solutions sees great opportunities for continued strong value creation in the company going forward. And talking about shareholder value. As you can see from the graph on the left-hand side, share prices among players with exposure to the subsea equipment market have increased markedly during the last 6 to 12 months. If one uses such peer trading multiples, one may argue that our 20% ownership represents a significant upside to Aker Solutions current trading. In addition, Aker Solutions currently holds more than 5 million shares in SLB, which were used as considerations for the Subsea transaction. Since the closing of the fourth quarter, we have seen a substantial increase in the value of these shares. So to summarize, I am pleased to see that we continue delivering strong financial results that we have a solid backlog of healthy projects and that we continue positioning the company for the future. Finally, our financial situation is robust. This gives us a strong foundation to continue developing the company while generating solid returns to our shareholders. And with that, I leave the word to Idar, who will take you through the financials of the quarter and for the full year.
Idar Eikrem: Thank you, Kjetel. I will now take you through the key financial highlights of the fourth quarter, the full year figures, our segment performance and run through our financial guidance. As always, all numbers mentioned are in Norwegian kroner. So let me start with the income statement. The fourth quarter revenue was NOK 16.7 billion. Full year revenue were NOK 63.2 billion, a 19% increase from 2024. The underlying EBITDA in the quarter was NOK 1.3 billion with a margin of 7.9%. During the quarter, Aker Solutions have taken provisions for restructuring costs of NOK 194 million in relation to the announced capacity adjustments. This is treated as a special item. The net income from OneSubsea was only NOK 80 million in the quarter. This was affected by one-off costs related to integration and restructuring. If adjusting for these one-off costs, the net income from the entity was in line with previous quarters. Full year EBITDA for the group was NOK 5.3 billion with a margin of 8.4% or 7.3% if you exclude the net income from SLB OneSubsea. The underlying EBIT in the quarter was NOK 940 million, up from NOK 888 million a year ago with a margin of 5.6%. The full year EBIT was NOK 3.8 billion with a margin of 6.1%. For the full year, net income, excluding special items, was NOK 2.9 billion, representing an earnings per share of NOK 6.1. This is somewhat lower than in 2024, mainly driven by lower interest income after the sale of liquid funds used for the payment of extraordinary dividend in 2024. As Kjetel mentioned, the Board of Directors will propose an ordinary dividend of NOK 3.6 per share for 2025, pending approval of -- in our Annual General Meeting in April. This represents approximately 60% of net income, excluding special items. Moving to our segment performance. For Renewables and Field Development, the fourth quarter revenue was NOK 12.4 billion. Full year revenues was NOK 46.1 billion, representing a year-on-year growth of 21%. The underlying EBITDA in the quarter was around NOK 1 billion with a margin of 8.1%. EBITDA for the full year was NOK 3.7 billion, representing a margin also of 8.1%. The legacy lump sum projects continue to be a drag on the margins throughout 2025. These projects are now in the offshore commissioning phase and commercial discussions are ongoing. And as previously mentioned, the second-generation renewable projects contribute with healthy margins in the period. The order intake in the period was NOK 11.6 billion, leading to a secured backlog of more than NOK 40 billion at year-end. Based on the secured backlog, we expect the revenues in this segment to be between NOK 30 billion and NOK 35 billion in 2026. For the Life Cycle segment, revenues in the fourth quarter was NOK 3.8 billion. Full year revenues was NOK 15 billion, an increase of about 13% from 2024. The underlying EBITDA was NOK 293 million in the quarter, representing a margin of 7.7%. This was enabled by continued solid performance on ongoing modification projects and long-term frame agreements. EBITDA for the full year was NOK 1.1 billion with a margin of 7.2%. The order intake in the quarter was NOK 7.7 billion, representing a book-to-bill of about 2x. During the quarter, Life Cycle was awarded long-term frame agreements with both ConocoPhillips in Norway and ExxonMobile in Canada. The secured backlog at the end of the year was NOK 23 billion, providing a good visibility for future activity levels. This, however, does not include the announced long-term frame agreement with Equinor awarded in the first quarter of 2026, representing additional intake of more than NOK 10 billion. Based on the secured revenues and backlog, we expect Life Cycle revenues to remain relatively stable in 2026 at around NOK 15 billion. Moving to our financial performance of SLB OneSubsea. In the fourth quarter, SLB OneSubsea delivered revenues of about NOK 10.5 billion. For the full year, revenues were about NOK 40 billion. EBITDA in the quarter was about NOK 1.9 billion, representing a margin of about 18%. For the full year of 2025, the company delivered an EBITDA margin of 19.4%. Net income before PP&A adjustment was NOK 527 million in the quarter. This was negatively affected by the mentioning provisions for one-off costs. After PP&A adjustment, Aker Solutions recognized NOK 80 million for our 20% share. The backlog for the entity is currently at NOK 47 billion. As mentioned, tendering activity is high, and the company has an ambition to exceed $9 billion in new orders over the next 2 years. In the fourth quarter, Aker Solutions received dividend of more than NOK 400 million. This was significantly above previous quarters, reflecting the solid financial position and performance of the entity. This takes me to our cash flow for the full year. Cash flow from operation was NOK 2.6 billion, mainly driven by EBITDA contribution from our operational segments offset by a reversal of working capital of about NOK 1.3 billion. CapEx for the full year was about NOK 500 million or 0.8% of revenues. For the full year, Aker Solutions received NOK 841 million in dividends from our 20% ownership in SLB OneSubsea, significantly above previous guiding from the company. Lastly, we have distributed about NOK 1.6 billion to our shareholders in 2025, in line with our ordinary dividend policy. The financial position remained robust with a net cash position that increased to NOK 3.7 billion during 2025. So to sum up, in 2025, Aker Solutions delivered record high revenues with solid margins and strong cash generation. As Kjetel mentioned, we continue to expect activity levels to come down in 2026, forecasting revenues between NOK 45 billion and NOK 50 billion for the full year. At this early stage, we expect the EBITDA margin to be in the range of 7% and 7.5% for the full year, excluding net income from SLB OneSubsea. CapEx is expected to be around 1% of revenues. While working capital is expected to continue its normalization to a level between negative NOK 4 billion and negative NOK 6 billion over time. Based on our robust financial position, the Board will propose a cash dividend of NOK 3.6 per share for 2025, pending approval in the Annual General Meeting to be held in April. Thank you for listening. That was the end of our presentation. In a few moments, we will open up for questions.
Preben Ørbeck: Okay. We will start with a few questions from Martina Kverne in Nordea. The first question is if you can give an update on when the legacy lump sum projects are finished?
Kjetel Digre: They are all currently in offshore mode. We have installed them, and they are completed structurally, and we are currently working on the commissioning part of the project and we completed all of it in 2026.
Preben Ørbeck: Moving on to two questions on the tender pipeline. Whether Wisting is included. And also, if you can elaborate a bit on the split between Renewable, Field Development and Life Cycle.
Kjetel Digre: Start by saying that Wisting is really high on our agenda, and we are working closely with Equinor on behalf of the license owners to look at the optimal concept and really helping them to make this a viable project. That's a super important work for us. It's not currently included in the tender pipeline numbers because it's in an early phase still. And then the split is, I would say, balanced. We are working on the classical greenfield oil and gas projects. But perhaps link it common to Life Cycle. We have in the start of 2026 and now we've gotten the important continued relationship with Equinor with many exciting agreements and tasks. And part of those agreements is actually not specific yet on what kind of work. So they are sort of empty contracts. But we know that with the ambitions of Equinor and other operators on the Norwegian continental shelf with, for instance, 75 subsea tiebacks that can potentially be filled with quite a lot of life cycle work going forward.
Preben Ørbeck: Moving over to a few questions on OneSubsea. They announced a target of $9 billion in cumulative orders. Can you talk a bit about the timing and maybe also elaborate on the dividend expectations?
Idar Eikrem: Thank you. I will. And the $9 billion is in U.S. dollars. So that is important. And the $9 billion is a target for the next 2 years. So '26 and '27 to secure $9 billion in new orders. In addition, SLB OneSubsea is sitting with an order backlog of $4.7 billion. So achieving $9 billion over the next couple of years with the current backlog is providing a solid and good visibility for activity level going forward. Currently, they are around $4 billion a year and with healthy margin close to 20%. And as we have seen, we received NOK 841 million for dividends from SLB OneSubsea during 2025. And the dividend policy is a good dividend policy for the shareholders. All excess cash is going to be distributed to the shareholders. And the current cash position at year-end was at NOK 5.7 billion. So with, call it, cash generation from the earnings that we expect in 2026 together with the cash position they're sitting on, we expect healthy dividends also for 2026 and onwards.
Preben Ørbeck: Moving to a question on the Aker BP projects where you are noting good progress. Any upside to the margins in 2026?
Idar Eikrem: For a project like this, there are incentive mechanism in place. And normally, they -- most of the sort of incentive mechanism are towards the end of the project lifetime and also linked up to start-up. We don't disclose or come with guidance on margins on specific contracts or segments. But as you can see from our guidance for 2026, we are guiding a margin of 7% to 7.5% at this stage. And with Life Cycle being a business that is currently at around 7.2%, you will understand that the Renewable and Field Development segment will be in the range that is in line with the group estimates.
Preben Ørbeck: Thank you. Then moving over to a question from Oscar Ronnov in Kepler. If you can comment on how margins of new contracts signed in 2024 and also now in the beginning, '25 and into '26, how does that compare to the legacy portfolio? And if you're seeing a material step-up in underlying margins or risk returns on new awards?
Idar Eikrem: I think the most important thing that we did and we communicated that clearly is some of those contracts that we signed in '21, '22, didn't have the right risk reward balance. We have, therefore, communicated that we will be very selective and make sure that we have the right risk reward balance on contracts that we are signing. That is what you have seen of the contracts that we have signed in '24, '25 and now into '26 with healthy margins. Renewables portfolio, we have not been satisfied with those on a historical one. However, that was the first generation. The second generation has healthy margins. And renewable projects are competing with oil and gas projects for our own internal resources. And we are requiring margins on renewable projects in line with our oil and gas projects. So healthy margins in the portfolio.
Preben Ørbeck: Next question, how do you look at the potential future projects in the U.S.A., especially in wind industry under the Trump administration? Did the sentiment changed after the recent rhetoric?
Kjetel Digre: It's quite obvious that the sentiment and the opportunities in this period of Trump administration has changed. And our role in this is obviously to work closely with our key clients, and they are looking at changing focus just now that has been seen and particularly towards Europe and back to what we are tendering for and potential project, that's where the major wind opportunities are currently worked on from our side. Back to U.S., we do have office in U.S. and with consultancy Entr focus. And there, we are working on exciting new opportunities around, for instance, CCS, but also within classical oil and gas industry. And just to make another connection, those kind of jobs in the U.S., particularly onshore, is also supported from our experienced Indian engineering muscle.
Preben Ørbeck: Then a question from Martin on the structural competitive advantage of Aker Solutions that you believe can support a sustainable returns above cost of capital.
Kjetel Digre: Well, that's a big question. It's almost our whole strategy. But I think what you see is that we tend to be sort of a key and closest partner to our clients, and that's the role we want to grow further. And I think we are preferred in many instances on that because we have the totality of the engineering through our very experienced engineering organization. We're also the ones that are handling and orchestrating the totality of the project puzzle when it comes into execution. Back to our strategy, what we are also careful about is that we know what we are really good at. We have a core business that we are improving, but also growing and also do that around our existing hubs so that we are taking careful steps outside those. And then I think also as a company, we are in a place where we have taken onboard the challenge and realized that we have to change, we change together with clients, but also orchestrating change and improvements in the whole supply chain. I think there are a few companies that can take that role, and we are one of them, for instance, within maturing and developing a digital and AI-based operational model and bringing that out to the rest of the supply chain.
Preben Ørbeck: Maybe then elaborating to Idar if there are any key drivers of returns on invested capital expansion in terms of margin development, capital intensity and reinvestment efficiency.
Idar Eikrem: Yes. I think I sort of point back to my guidance for next year or this year in '26 where we have put out our guidance NOK 45 billion to NOK 50 billion in turnover and then with a margin of 7% to 7.5% range. CapEx is going to be sort of lower than what we have had recently. We are now capitalizing on our CapEx and investment that we have done over the last few years. So we expect CapEx to be around 1% of revenues. We expect the working capital to normalize a bit more than what it is currently at minus 6.5% to a level of around minus 4% to minus 6%. When you combine all this, we should be in a position that generate healthy cash flows also going forward, being able to serve our shareholders as well. And in addition, as we spoke about earlier in this call, healthy dividends are coming in from our ownership in SLB OneSubsea close to NOK 850 million for last year.
Preben Ørbeck: Moving then over to a question from Jorgen Lande. If you can elaborate on the NOK 80 million net income from OneSubsea and the details of the provisions for one-off costs related to integration and restructuring.
Idar Eikrem: Yes. What you should read into this is when the 2 companies combined, Aker Solutions and SLB, there was certain plans for taking out synergies and restructuring part of it, and this is part of that program. So this quarter, a bit more than what you have seen historically and you should consider this as a one-off cost in the quarter. And as we have stated in our comments to this, if you adjust for this, the earnings is more in line with previous quarters.
Kjetel Digre: Perhaps I'll just add. Preben, you know, we are following this closely, obviously. And we are doing a very good and optimal things both when it comes to structure and system harmonization on the people structure and then also the actual facilities taking out the synergies that Idar is alluding to.
Preben Ørbeck: Okay. Should we then move to -- there's a few questions from Erik Aspen Fossa in Sparebank. As visibility into next year improves, what is the outlook for 2027?
Idar Eikrem: Yes. I can probably start. First of all, we have provided our guidance for 2026. We have secured order backlog around NOK 15 billion for 2017. However, we have a tender pipeline of around NOK 80 billion. And of course, a result of those tenders will impact '27. In addition, the frame agreements in Life Cycle. And as you have picked up, we was awarded the frame agreement from Equinor, now in the first quarter in January 2026. That will also come on top and have impact for '27 as well as other contracts that we are currently in the tender phase that will be concluded shortly. So we expect, of course, the backlog to increase when we come a bit closer to '27.
Kjetel Digre: So perhaps add on the MMO part of us, having these long-term frame agreements, not only Equinor but also the ones that we won last year. That's a starting point with an expected volume. We are then becoming close to the assets and the organization on the client side, and that positions us really well for projects that are mature and comes on top of the already planned volume of work.
Preben Ørbeck: Thank you, Kjetel. I see there's a few similar questions on what the strategy and ownership agenda for our 20% holding in OneSubsea. Is it a long-term part of Aker Solutions asks Martin Huseby Karlsen.
Kjetel Digre: Yes. As I said, you are closely linked and collaborating with SLB OneSubsea. We have to also remind ourselves that we are actually an important supplier from both our Egersund yard and our organization at large towards the tasks and projects that OneSubsea picks up. So that's a good position to be. And then obviously, our ambition is to build them to be the largest subsea player worldwide.
Idar Eikrem: Yes. And there was also a question about SLB shares that we are owner of. And those shares was allocated in connection with the transaction to us or part of the payment. We consider that as cash and cash equivalent like and can be converted to cash quite quickly if we want to do that. And when it comes to the shareholding, 20% shareholding that we have in SLB OneSubsea, as we have spoken about, this is a good business. It's a growing business and interesting business to be in. And therefore, there is no sort of plan to exit from that one.
Preben Ørbeck: A few questions from Victoria McCulloch from RBC on OneSubsea. If you can comment a bit on your views or your expectations in 2026 in terms of margin, in terms of order intake and market share. If you can elaborate a bit more on the targets and the performance of the entity.
Kjetel Digre: Well, first of all, on the outlook, a bit more general. They are world-class in both the sort of subsea production system delivery part. They are class in umbilical and cable part. They are world-class in, I would say, really world leading on the subsea processing kind of projects and also in the more sort of Life Cycle aftermarket service segment. And my take is that the way forward looks promising, and we are currently winning work from that side, which makes the months and years ahead, looking really good also, capturing projects with new clients that broadens the footprint and opens up new opportunities.
Preben Ørbeck: Then a question from Kim Uggedal. If the Q4 dividends from OneSubsea is a new run rate? Or what should we think about it in 2026?
Idar Eikrem: Yes, the Q4 dividend was more than NOK 400 million in 1 quarter. I guess that is a bit higher than what we expect to see every quarter. However, the yearly sort of effect that is there is at least within reach when you look at the cash conversion that SLB OneSubsea is able to do.
Preben Ørbeck: Then moving on to a question from Kim Uggedal on the order intake in Renewable and Field Development, which was very strong consider that we did not announce any contracts. And whether this is predominantly related to scope on the NCS portfolio or additional scope on HVDC platforms or other projects?
Idar Eikrem: There are increased scope in some of the projects, and it's also a growth in the portfolio. However, the largest element is a catch-up effect from third quarter. Aker BP updated our CapEx forecast in the third quarter. We were allocated a substantial part of that one in the fourth quarter. So there is a catch-up from third quarter, that is the majority of the figures that is unannounced in fourth quarter for us. This has to do with approval of milestone -- new updates on the CapEx estimate and allocating it to the suppliers.
Preben Ørbeck: Question from Martin Huseby Karlsen, DNB on the tender pipeline of NOK 80 billion. Is that as end of Q4 or as of today? And how much of the volume is related to Equinor?
Kjetel Digre: Well, that tender pipeline is as of end of Q4. And now currently, as we said a few times now, the Equinor MMO volume is the starting point really for those contracts is the expected volume planned that are already. And then on top of that, as I said, we will compete for jobs then that are larger and linked to, for instance, all the subsea tiebacks they are planning.
Preben Ørbeck: And maybe elaborate that it's the -- what we expected and not the full tender value that was set out to all the participants in the tender.
Idar Eikrem: And just remind everybody about that one, then we booked it now in the first quarter, and it's more than NOK 10 billion on that contract.
Preben Ørbeck: Then a question on the margin guidance, Idar, whether it includes provisions or incentives or for the incentives for projects.
Idar Eikrem: Yes, the margin guidance for 2026 is for the group. And as I mentioned earlier on today, this is a combination, of course, of -- and this is excluding OneSubsea and the ownership of that one. So the earnings from that comes on top, but the 7% to 7.5% is then for the remaining part of the group, and it consists basically of Life Cycle that has currently delivered 7.2% last year. And then it's -- the rest is basically in Renewable and Field Development. So meaning Renewable and Field Development is having a margin that is more or less in line with the group figures.
Preben Ørbeck: Thank you, Idar. It seems that we have no further questions. So from us here, it's time to close off the session. And thank you all for listening in.